Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to the Kura Sushi USA, Inc. Fiscal First Quarter 2024 Earnings Conference Call. At this time, all participants have been placed in a listen-only mode and the lines will be open for your questions following the presentation. Please note that this call is being recorded. On the call today, we have Hajime Jimmy Uba, President and Chief Executive Officer; Jeff Uttz, Chief Financial Officer; and Benjamin Porten, Senior Vice President of Investor Relations and System Development. And now, I'd like to turn the call over to Mr. Porten.
Benjamin Porten: Thank you, operator. Good afternoon, everyone, and thank you all for joining. By now, everyone should have access to our fiscal first quarter 2024 earnings release. It can be found at www.kurasushi.com in the Investor Relations section. A copy of the earnings release has also been included in the 8-K we submitted to the SEC. Before we begin our formal remarks, I need to remind everyone that part of our discussion today will include forward-looking statements defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are not guarantees of future performance, and therefore, you should not put undue reliance on them. These statements are also subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. We refer all of you to our SEC filings for a more detailed discussion of the risks that could impact our future operating results and financial condition. Also during today's call, we will discuss certain non-GAAP financial measures, which we believe can be useful in evaluating our performance. Presentation of this additional information should not be considered in isolation nor as a substitute for results prepared in accordance with GAAP, and the reconciliation to comparable GAAP measures are available in our earnings release. With that out of the way, I would like to turn the call over to Jimmy.
Hajime Jimmy Uba: Thanks, Ben, and Happy New Year to everyone joining us today. Fiscal 2024 is off to an exceptionally strong start with meaningful improvement in restaurant-level operating profit margin and adjusted EBITDA, as well as six new units opened to date with another seven under construction. Our goals for this fiscal year remain the same as last year: maintain excellent operations, continue to rapidly grow the number of our restaurants, and leverage our G&A against our increasingly large restaurant base. I'm pleased to say that we are continuing to make excellent progress on all three fronts. Total sales for the fiscal first quarter were $51.5 million, representing comparable sales growth of 3.8% with traffic growth being responsible for 3.3% of our overall comp. Sales momentum has accelerated since our last earnings call, as implied by the 110 basis point improvement over the branded September-October comps of 8.7%, this improvement being delivered entirely by traffic growth. Effective price was 9% during the fiscal first quarter. As of the first week of December, we dropped (ph) 7% in price which we partially offset in January with pricing of approximately 1%. Our current 3% effect pricing is a return to our historical pricing cadence which reflects our confidence in the ongoing normalization of our prime costs as well as a strong strategic decision to best to take advantage of current macro factors to maintain traffic growth and capital market share. Commodity costs have seen a marked improvement over the prior year quarter with our cost of goods sold as a percentage of the sales coming up 29.8% of Q1 as compared to last year 31.6%. Labor costs have largely remained the same at 31.6% as compared to prior year quarter of 31.9%. Restaurant-level operating profit margins improved from 18.3% in the prior year quarter to 19.5% and adjusted EBITDA grew from $0.6 million to $1.8 million, representing year-over-year growth of approximately 200%. It's worth mentioning that, much of the adjusted EBITDA growth was driven by improvements in commodity costs, but it is particularly encouraging to see such dramatic growth even while we faced the other headwinds associated with full of [indiscernible] compliance and restaurant level headwind associated with a record number of new restaurant openings and the units under construction. I believe this adjusted EBITDA growth is only a test of what we can expect in future years as we grow our unit base, but as a company and are even better able to leverage our G&A. In the fiscal first quarter, we opened four new restaurants, Pittsburgh, Pennsylvania; Flushing, New York; Tampa, Florida; and Naperville; Illinois. Subsequent to the quarter end, we opened two more new restaurants in Kansas City, Missouri and Skokie, Illinois. Additionally, we have 7 units currently under construction. Accordingly, we are excited to increase our unit openings guidance for fiscal 2024, which Jeff will expand on shortly. The incredible reception that we are seeing as we establish ourselves in new market demonstrates the purely national cost of food cost affordability of Kura Sushi and the performance of the new units in existing market is confirming our expectations that the massive consumer appetite of Sushi more than enough to sustain our infield brand. It's been a couple of months since we launched the new version of our rewards program and I'm very pleased to be able to share that early momentum that we discussed in our previous earnings calls has remained just as strong. Registration rates for new members approximately tripled what they are with the previous program and given that these are all new users, we expect greater engagement on a per user basis and overall comfort of the previous reward program. While it is still very much early days in terms of the new reward program and our earnings on how to best leverage it, we expect to give more concrete update in future earnings call in terms of newly unblocked opportunities and its potential to drive incremental revenue. Our current ID collaboration peanuts has been very well received via our guests. Our next brand collaboration is SPY x FAMILY and we believe pipeline for the remainder of the fiscal year is the strongest one we’ve ever had. As we enter the New Year, I would like to thank all of our team members both at our restaurants and at our corporate support center for all of their hard work which have allowed us to share great news quarter-after-quarter on our earnings call. And with that, I will turn it over to Jeff to discuss our financial results and liquidity. Jeff?
Jeff Uttz: Thank you, Jimmy. For the first quarter, total sales were $51.5 million as compared to $39.3 million in the prior year period. Comparable restaurant sales performance as compared to the prior year period was positive 3.8% with regional comps of 9% in our West Coast market, and 1.3% in our Southwest market. Turning now to costs. Food and beverage costs as a percentage of sales were 29.8% as compared to 31.6% in the prior year quarter, largely due to pricing and the easing of commodity inflation. Labor and related costs as a percentage of sales decreased to 31.6% from 31.9% of prior year quarter. This decrease is due to sales leveraging from increased traffic and pricing which was largely offset by increased training costs associated with new store openings and general wage increase. Occupancy and related expenses as a percentage of sales were 7.6% compared to the prior year quarter 7.3% due to incremental pre-opening rents associated with a greater number of units construction. Depreciation and amortization expenses as a percentage of sales increased to 4.8% as compared to the prior year's quarters 4% largely due to the additional newly opened units as well as the accelerated depreciation of assets being replaced due to planned remodels. Other costs as a percentage of sales increased to 14.7% compared to 13.5% in the prior year quarter, due mainly to preopening costs associated with a greater number of store openings as well as an increase in marketing costs and general cost inflation. General and administrative expenses as a percentage of sales decreased to 16.7% as compared to 16.9% in the prior year quarter due to greater sales leverage, which was largely offset by incremental public company costs and recruiting and travel costs associated with new unit opening. Operating loss was $3.8 million as compared to an operating loss of $2.2 million in the prior year quarter, largely driven by incremental other costs, depreciation and amortization, and occupancy associated with a greater number of unit openings and units under construction. Income tax expense was $38,000 compared to $10,000 in the prior year quarter. Net loss was $2 million or $0.18 per share compared to a net loss of $2.1 million or $0.21 per share in the prior year quarter. Restaurant-level operating profit as a percentage of sales was 19.5% compared to 18.2% in the prior year quarter. Adjusted EBITDA was $1.8 million compared to $0.6 million in the prior year quarter. Turning to our cash and liquidity. At the end of the fiscal first quarter, we had $64.2 million in cash and cash equivalents and no debt. And lastly, I would like to update and reaffirm the following guidance for fiscal year 2024. We now expect total sales to be between $239 million and $244 million. We now expect to open between 12 and 14 units with average net capital expenditures per unit of approximately $2.5 million. And we continue to expect general and administrative expenses as a percentage of sales to be approximately 14.5%. Now, I will turn it back over to Jimmy.
Hajime Jimmy Uba: Thanks, Jeff. This concludes our prepared remarks. We are now happy to answer any questions you have. Operator, please open the line for questions. As a reminder, during the Q&A session, I may answer in Japanese before my response is translated into English. Thank you for your attention.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Joshua Long with Stephens. Please proceed with your question.
Joshua Long: Great. Thank you for taking my question. Just curious if you could share a little bit more about the unit development pipeline and what seems to be a nice strengthening in that. I know in the prior call, you talked about the potential for upside to the unit -- new unit development pipeline for the year. That seems to be coming into fruition. Just curious if this is a function of site selection, maybe if permitting has gotten any better or anything you could share there in terms of just how the new stores are coming together.
Hajime Jimmy Uba: Sure. Thank you, Josh, for your thoughtful question. Please, allow me to speak in Japanese then it will have translated for me. [Foreign Language] [Interpreted] So as Jimmy mentioned in the prepared remarks, we have 7 units under construction. We're extremely pleased to be able to say that three of those were pretty far into construction, and so we're very happy with where we are. It's one of the reasons that we are confident in terms of raising our guidance. In terms of the permitting delays that you mentioned in the past fiscal year, those have meaningfully eased and so we're very happy with the rollout and how smooth that's been this year.
Joshua Long: Great. That's very helpful. Thank you. Thinking maybe more about the performance of newer stores, it sounds like that's pretty strong. Could you give a little bit of extra context or color in terms of just how the results for the quarter performed versus your expectations? I know, if there's -- always there is going to be a little bit of difference in between what you all see and how we model it. But I'm thinking particularly in terms of just kind of how average weekly sales growth was growing through the quarter and maybe if at some point we kind of get away from looking at this on a multiyear stack comparison, I know we're getting further away from kind of COVID and some of those disruptions, but just curious if you're starting to see any sort of normalization there and any sort of commentary you could share on how new store performances is unfolding.
Hajime Jimmy Uba: [Foreign Language] [Interpreted] In terms of new restaurants, we -- fiscal '23 had a record year. This year we've already opened six to date. And so we've had a lot of new openings. In terms of the major new markets that we've hit, we've entered Minneapolis. We've opened a couple of restaurants in New York. We hit Pittsburgh. We're in Tampa. It's been it's a pleasure really to see how warm the receptors that in each of these markets. And every time we open -- every time we enter a new market, it's just a confirmation of the portability of our concept and so it's really encouraging for us. In terms of the existing markets, we've opened a couple in New Jersey, Chicago, the Atlanta area, and those are all doing very well as well as Jimmy mentioned in the earlier prepared remarks, there's abundant appetite for Sushi across the United States and so we feel very confident, but not only in terms of our existing -- our new markets, which are gangbusters but infilling our existing markets as well. [Foreign Language] [Interpreted] Okay. Understood. So -- and in terms of the multiyear stack, we're not -- we are being totally frank. We're not internally doing a multiyear stack anymore. We've returned to normalcy. And so we're very pleased to be able to say that.
Joshua Long: Great. Thank you. That's helpful. Then one last one for me. In terms of the food deflation or just the overall COGS basket that you talked about in your prepared remarks, I think also in the past there was conversation around the potential to reinvest in food quality or other areas if the food cost margin went materially below 30% was just -- as kind of a starting point. So realize it's probably early on in the old process, and there's still a little bit of fluidity there. But could you just remind us how you're thinking about the food cost line and when and where some of those pivot points or thought process might lie in terms of the potential for seeing leverage or maybe reinvesting in that line item?
Jeff Uttz: Hey, Josh. It's Jeff. Yeah. The 30% number on the COGS line is something that we're very happy with. It's something that we would like to see a little bit lower, and it has gotten lower. In terms of deflation, just to give you the numbers of what we've seen this year, year-over-year our deflation was about 4%. And sequentially, quarter-over-quarter, our deflation was about 2%. So that deflation, combined with the price increases that we've taken over the last year, and as Jimmy mentioned, we did take about 1% on January 1. We believe that with the price increases and the deflation, that we're going to be successful in having that COGS number show up even below 30%. But as we've mentioned in the past, there's a floor to that. We -- if that COGS number were to get somewhere 27%, 28%, that may be a little bit too low, and then you do risk, hurting your food quality, which is not something we're going to do. So as long as we can keep that number in the very, very high 20s or right around 30%, we're going to be happy.
Joshua Long: Got it.
Jeff Uttz: In terms of reinvesting that, some things that we've done have materially -- significantly improved the quality of our core proteins, especially tuna and salmon. Very pleased to be able to say that we've done that while also lowering our COGS basket or COGS cost. And so that's really been pretty remarkable for us. One other thing that we like to do is our LTOs. For example, in December, we did a crab fair, very high quality crab. Winter is crab season in Japan, and this was one of the most popular LTOs ever. And I think our guests really enjoyed it and sort of appreciated that we were giving back to our guests through crab.
Joshua Long: Great. Thank you so much.
Jeff Uttz: Thanks, Josh.
Hajime Jimmy Uba: Thank you, Josh.
Operator: Thank you. Our next question comes from the line of Jeremy Hamblin with Craig Hallum. Please proceed with your question.
Jeremy Hamblin: Thanks and congrats on the strong results. I wanted to just come back because there's a little bit of breakup in the audio and some of the commentary around menu pricing, as well as same-store sales color. Apologies for going back over some of this, but wanted to make sure that I understood, a, kind of the cadence of comps color that you shared throughout FQ1. And then two, I think what I heard on the menu pricing was that you're carrying 3% overall in FQ2 and then kind of the comp on the West Coast versus the other regions or in the Southwest region, if we could start with that, that would be great.
Benjamin Porten: Yeah. The pricing that we ran, Jeremy, in Q1 was 9%. We did take the 1 -- we lapped a 7% pricing in December, and then we took the 1% at the beginning of January. So we're currently at 3% pricing. We're very, very happy with where the comp never came out. And what we really want to point everybody back to is that traffic number. The traffic of 3.3% that we saw in Q1, and as you know, listening to conference calls still throughout the year, very few concepts, have been able to have positive traffic. And we looked at that number, and as long as we can keep people coming back in the door and keep our existing guests coming back, we're going to be very happy. That's one of the things that we can control through great service and great food quality. We continue to do that. We believe that our guests are going to keep coming through that door and keep that traffic positive. And if we can do that, we're very positive that we can. It's going to be a good year for us. And just add on the cadence given the audio broke up a little bit. We gave September and October comps last earnings call, it was 2.7% and -- so you can assume that the comps for November were much stronger given that we came in at 3.8% for the full quarter, given that we didn't take any price in that quarter, the acceleration was driven solely due to traffic. So back to Jeff's earlier point, we're very, very pleased to see that we're operating, executing so well, but more guests than ever coming into our doors.
Jeremy Hamblin: Got it. I think there was, there was some commentary on the West Coast versus the Southwest market comps also just wanted to clarify.
Jeff Uttz: Yeah. Give me one second.
Benjamin Porten: I have the number here.
Jeff Uttz: Great.
Benjamin Porten: I remember. Top of my head. 9% in the West Coast and 1.3% in the Southwest markets.
Jeremy Hamblin: Got it. And so then just coming back to the comp overall, in terms of where the menu pricing was, traffic up really strong 3.3%. Are you still seeing a little bit of reduction then in average plate consumption? And do you have the [Multiple Speakers] go ahead.
Hajime Jimmy Uba: [Foreign Language] [Interpreted] Right. On a sequential basis from Q4 to Q1, plate consumption per person has actually gotten up. And on a year-over-year comparison, it's about flat. And so we're really happy with where plate consumption is.
Jeremy Hamblin: Got it. And then I wanted to shift gears to your labor costs. And you see that had some nice 30 basis points of leverage year-over-year. I think minimum wage in California on January 1 is up about 3.2%, but wanted to get an outlook of what you're thinking about, Jeff, on kind of the labor market here in calendar '24? As we're moving forward, are you seeing a little bit less pressure? I think there's also in April, the impact of the potential large scale fast food wage laws that are going into effect, the $20 wage, but just wanted to get a sense for what you were expecting. And again, pretty nice leverage that you got on a 3.8% comp.
Hajime Jimmy Uba: I'm happy to answer this question. Josh -- Jeremy. [Foreign Language] [Interpreted] So in past earnings calls, we've mentioned that about. I think that until about Q3 of last year, the year-over-year labor inflation was about 10%. It's since moderated to mid-single digits. And that is including the annual minimum wage increases in California. With the 1%-ish pricing that we took as of January, we believe that that's enough to offset the labor increases and really keep our margins flat year-over-year. You'd asked about AB 1228, previously known as the FAST Act, we're very pleased to be -- I think we're pretty much the only concept that is saying that we see this as an opportunity. In terms of our California markets, our employees are already making wages that are competitive with the $20 that people are going to be making at QSR. And so, obviously, QSRs need to take aggressive price to be able to offset that. And so we see this as a meaningful opportunity to grow market share as -- up until now, the conversation has really been, do we go to Kura Sushi or do we go to other casual dining places? Now it's, do we get a combo meal at the burger place, or do we get Kura Sushi? And that's one of the reasons that we're running 3% price is, we really want to demonstrate to the world at large, not just our existing guests, how great a valued Kura Sushi is.
Jeremy Hamblin: Got it. That's a great point. Last one for me. Now hop out of the queue. Just wanted to ask about some of the recent collaborations, right? You've partnered with Peanuts and Snoopy in December here into January, and wanted to get a sense for how that promotion was performing. It seems to be generating a decent amount of buzz.
Jeff Uttz: Yeah. We're really pleased with the December results, and Peanuts collaboration is certainly a big part of it. Our PR team gets better and better with every collaboration that we cycle through, and this time they did a really spectacular job with what we call the space collaboration, not just the toys or the animes, but we had photo ops where the restaurants were decked out like a Charlie Brown Christmas. We had little Snoopy figures on our Mr. Fresh domes, and those would go mysteriously missing. And so if guests were a part of that, you really can't get higher praise than that. Certainly not encouraging guests to do that. But it was nice to see people were so that excited about it. And as Jimmy mentioned earlier, we've got SPY x FAMILY as our next collaboration, and then we've got two more after that for the remainder of the fiscal year. This is the best pipeline we've ever had. I could not be more excited. I wish I could tell you what they were right now, but you're going to have to wait until the next call.
Jeremy Hamblin: Great. Thanks for taking all the questions and best wishes.
Jeff Uttz: Of course. Thank you.
Hajime Jimmy Uba: Thank you, Jeremy.
Operator: Thank you Our next question comes from the line of Sharon Zackfia with William Blair. Please proceed with your question.
Sharon Zackfia: Thanks for taking the question. Jeff, I have to confess that I was a little surprised that you raised revenue guidance this early in the fiscal year. So -- but I'm curious on the $1 million raise, was it [Technical Difficulty] anticipated in initial guidance? Was it the opening schedule [Technical Difficulty] is this just [Technical Difficulty] in the business?
Jeff Uttz: Hey, Sharon, you're cutting out a little bit on my end, but I think I got the gist of your question. So as Jimmy mentioned earlier on one of the questions that was asked, the cadence of the opening is going quicker than we had expected, which is why we decided to raise the guidance. We feel that we're going to have some more operating weeks and have an additional unit come in at the end of the year, which is why we raised it $1 million and not more than that. To talk about some of the things that have been happening with the openings and the markets that we're opening in, we have seen some of the permitting problems that we did have last year ease, and some of the site selection has been really good. And landlords are excited about getting us in. And I was talking to our Chief Development Officer recently, in fact, last night, and he was telling me that these landlords are getting their work done quicker because they want to get us in and they're excited about having Kura Sushi as part of their portfolio. And the quicker that they can get their work done, the quicker that we can get our work done and we can get open. And we're seeing that happen, which is why we raised the guidance a little bit. Wanted to get through the first quarter and kind of see how that played out. We thought that that's how it would be, but we wanted to get through the first quarter and kind of watch what happened before we raised the guidance. So that's why we are where we are now.
Sharon Zackfia: Very helpful. And then on the traffic improvement you saw in November, obviously, pretty meaningful. We can all kind of do the math. I mean, is there anything in particular you attribute November too or in hindsight that you attribute prior two months to being a little bit than November?
Hajime Jimmy Uba: [Foreign Language] [Interpreted] We would attribute the acceleration in traffic in November largely for our new rewards program. We're very pleased with its capabilities. Part of it was -- in November, we were just making a push to migrate more of our existing users, sort of a final push. And so we had a promotion around that. In December, we started a promotion where this was the first time we've ever done this and something that we could only do because we have a rewards program that can track this kind of thing where -- but we made an offer where if you come twice in December, you get a 20% off coupon for January. And so that was very good for driving traffic in December. And obviously, it's going to be a traffic driver in January as well when people come to redeem that coupon.
Sharon Zackfia: [Technical Difficulty] the robotic dishwasher, which I know we're all very excited about, I think [Technical Difficulty] in the spring, I'm just wondering if that's still on plan and [Technical Difficulty] went really well. What could the time frame look like for a rollout into new units going forward?
Jeff Uttz: Yeah. So we are still in -- we are still on pace for a test in spring. I'm very much looking forward to it. I'd say that the technology is largely ready. It's just a matter of getting it battle-tested. There is a -- it's a little bit tricky to go from the prototype to the mass market model just -- or the mass-produced model, just given that there are some material changes. And so I think it's safe to assume that it's going to be at least 12 months from when the mass-produced model is finalized. At that point, I can get the actual parts list and bring it to the regulatory organizations, but that's a pretty opaque process. And so it would probably be 12 months minimum from testing, and then it would just be the timing for which stores we can plan ahead in terms of a layout to accommodate the robot dishwasher.
Sharon Zackfia: Thank you and Happy New Year.
Hajime Jimmy Uba: Thank you. Happy New Year.
Benjamin Porten: Thanks, Sharon.
Operator: Thank you. Our next question comes from the line of Jeffrey Bernstein with Barclays. Please proceed with your question.
Jeffrey Bernstein: Great. Thank you very much. A couple of questions on the comp trend. The first one, I think for the fiscal quarter you did a 3.8% and I think you said the pricing was 9% and the traffic if I heard right, was at 3.3%. So that would imply, I guess, a negative 8% or so in mix. And I think you said the plates were flat. So I guess it sounds like an ongoing, maybe non-Sushi check management. I'm just wondering how you think about that negative offset, whether you see that as a concern or whether that concern is abating kind of that missing component of presumably the meaningfully negative mix shift, kind of how you think about that.
Hajime Jimmy Uba: [Foreign Language] [Interpreted] So in terms of the negative mix, it's certainly there, but it -- we don't really think of it as a concern. Our focus remains traffic. Our marketing is geared around that. Our overall strategy is geared around that. We think that that's the hardest part and really where we shine brightest, especially in comparison to our peers. In terms of average check management, we think of that actually as a unique feature for our guests that comes from our service model. Guests can come in no matter what their budget is and that's one of -- we never price people out, and that's one of the reasons that our traffic is doing so strongly. But in spite of that mix pressure, our restaurant-level operating profit margin is 19.5%, a meaningful improvement over the 18.2% last year. And so our thought again is traffic is our focus. We can leverage our fixed costs against traffic and that gets us the margins that we like That being said, of course, we love it when our guests do have greater attachment side menu items, et cetera. And so we do have some promotional campaigns in the pipeline that are geared towards improving guest spend.
Jeffrey Bernstein: Understood. And then as we look forward, I think I pieced together from an outlook perspective on comps, based on the September-October, it seems like the November was roughly at 6%. And I guess if the pricing was similar, for sure that's a nice uptick. So I'm just wondering, one, I want to confirm that was right. And then I think on December, I thought you said that you were really pleased. I wasn't sure if that was a reference to the overall comp or how we should just think about the outlook, whether or not it's fair to assume a mid-single digit type comp sustains with still positive traffic and the pricing in that 3% range. Just trying to figure out the outlook first on the December and then kind of what we should be thinking about for the rest of the year based on those components.
Hajime Jimmy Uba: [Foreign Language] [Interpreted] So, yeah, in terms of the November coming in at about 6%, your math is right there. Looking at December, we did lap out 7% pricing in the first week. But as we said, we were very pleased with our traffic performance -- our overall comp performance. We're confident that with our ongoing traffic strength, our marketing efforts, the IP pipeline that we have, menu development, that we'll be able to maintain this very strong momentum through the remainder of the fiscal year. We're very happy.
Jeffrey Bernstein: Understood. Now that's encouraging, despite I guess concerns of a slow in consumer. So good to hear. My last question was just on the cost side of things. Just a clarification, I think you said the commodities were 4% deflation in the first quarter. I'm just wondering what the labor was for the first quarter and maybe the expectation for each of those for full year, fiscal '24.
Hajime Jimmy Uba: [Foreign Language] [Interpreted] In terms of labor, we've seen about mid-single digits inflation year-over-year, but we were able to come in 30 basis points below the prior year, 31.6% against last year's 31.9%. And so we're feeling that the operational efforts that we've made, the -- as well as the pricing that we've taken all come into play there. And we're very pleased that we were able to not just stay flat, but actually improve our labor mortgages.
Benjamin Porten: And then in terms of food deflation, you're right, it's [Technical Difficulty] from quarter one, fiscal '23 to this year, quarter one, it was about a 4% deflation. And then sequentially from Q4 of this past fiscal year to Q1, it was about 2%.
Jeffrey Bernstein: Got it. And just to clarify, Ben, did you say, I mean, I know depending on how we look at restaurant margins, it varies, but based on your calculation, it was 130 basis points of expansion. But did you say that you expect the restaurant margins flat in fiscal '24 with the 3% price for the rest of the year? Or were you referring to the labor line? I think that prior question someone was asking about labor, but I know you -- I thought you had mentioned that you were comfortable with restaurant margins flat. So just wanted to clarify if you have any kind of forward-looking thoughts on the remaining three quarters from an overall margin perspective. Thank you.
Benjamin Porten: Yeah. If you look at our historical margins, they tend to lever pretty meaningfully every quarter. And so you can just assume that the same as historically, they're going to continue to improve as we have greater traffic and we can -- and greater sales that we can leverage against our fixed costs. The comment about the 3% pricing that we took, we felt it was enough to offset not just our labor cost, but our -- we've got a cogstail when we do have some other costs, general inflation, but the 3% that we thought was enough to pretty much offset all those inflationary pressures.
Jeff Uttz: And on the -- I'll also add too, Jeff, on the restaurant-level operating profit as a percentage of sales. As I mentioned in my prepared remarks, we had 130 basis points of leverage there from 18.2% to 19.5%. So with a lot of tailwinds, our pricing, the commodity deflation, the easing of labor inflation, so the tailwinds have been great this past quarter and we fully expect that to continue for the remainder of the year.
Jeffrey Bernstein: Sounds great. Thank you very much.
Hajime Jimmy Uba: Thank you, Jeff.
Benjamin Porten: Thank you.
Operator: Thank you. Our next question comes from the line of Jon Tower with Citigroup. Please proceed with your question.
Jon Tower: Great. Thanks for taking the questions. Just a few, if I may, and I apologize if you might have hit this earlier. I had a hard time hearing some of the stuff. But on the loyalty program, I'm curious, how have registrations hit versus your own expectations? And how is it seems as if, per Ben's comments earlier, at least around the promotion in December, where you can come in twice and get 20% off in January. One, I don't know if that was only reserved for loyalty members or not, but how is this working overall the loyalty program to drive frequency ticket and/or frankly, any sort of customer insights that you might not have had previously?
Benjamin Porten: Yeah. So generally speaking, whenever we talk about a promotion, you can assume that it's limited to our rewards members. I don't know if you recall, in the last earnings call, it was November. Our rewards program had just been out for a couple of weeks, and we mentioned that the registration rate had doubled as compared to the prior program, and we sort of assumed that would level off. That was due the initial excitement. But I'm not sure if you heard in today's call because the audio is a little bit garbled, but the registration is actually tripled in comparison to the last program. So it hasn't leveled off. It's actually accelerated. So I think it's very fair to say that it's far exceeded our expectations. We're very pleased with it. I think it's still a little bit premature to be discussing guest insights, but just engagement is great. The things that we can do, the kind of campaigns that we can deploy are at a completely different level. Certainly, the next earnings call will have a lot of good news that we'll be able to share with you.
Hajime Jimmy Uba: [Foreign Language] [Interpreted] Yeah. And that visiting twice in December to get that 20% off in January, that's only for rewards members. In fact, the improved rewards platform is what enabled us to use that -- to actually do that for the first time.
Jon Tower: Got it. Thank you. And just, I know last quarter you'd also discussed the idea about communicating kind of some of the upgrades on the waitlist system and/or kind of the rolled-out cell phone ordering at the table to consumers as a potential lever. Did you guys push that during the quarter at all? And if so, what was the uptake of either?
Jeff Uttz: Yeah. In terms of the waitlist app. It's -- so guest attrition has dropped from 25% to below 20%. A very meaningful improvement. We're very, very happy with it, and we think it's one of the reasons that our traffic is continuing to improve. In terms of the mobile phone ordering, that is still limited to two restaurants. We're going to start testing later this. We're going to -- the testing is complete, its feature complete. Really, I think the biggest factors that we -- we've had some trouble figuring out exactly what to name it. When we have a button called mobile ordering or I think our guests are assuming it's like a takeout button. And so we're changing into smartphone ordering, which I think is a clear explanation of exactly what it can do. And for people that are new to this, on the call, it's -- it allow --this program allows you to use your cell phone to place orders as well which doesn't sound very exciting until you've been at our restaurant with a party of four or more and you're sitting on the outside. And you can't order from the panel and you don't want to reach over people and grab stuff. And so we're very excited about this especially in terms of mix. We think it's a meaningful opportunity for side menu attachment rates to go up. And so yeah, that rollout is starting in January, and it's going to be on a rolling basis, should be -- my expectation is that it will be done in the next two quarters, hopefully, the next quarter.
Jon Tower: Got it. Thank you. And then just I guess following up on the US TAM. I know you previously talked about the idea of getting to about 300 stores, and it seems like new store productivity volumes and certainly traffic all seem to indicate that your brand is resonating particularly well with consumers, despite whatever the macro had been doing over the past 24 months and obviously prior to that as well. So I'm curious, if and when you guys think about that number, it appears dated at the moment. Do you guys have any more thoughts on where that should go over time?
Hajime Jimmy Uba: [Foreign Language] [Interpreted] Right. So it still remains a topic of discussion in terms of when we're going to commission the new white space study. Obviously, we know that people are excited for that, and so we're excited to share that with the street whenever we do decide to commission the white space study. We communicated many times in the past that the 300 units that we initially gave at the time, the IPO, we think is conservative, not just because it was a conservative number to begin with, but because of the market fragmentation and the sheer number of restaurant closures in the Japanese segment as a result of COVID. We think that's fundamentally changed our opportunity in the United States. But again, as you mentioned, we're rolling along. We've got 56 units against that initial 300 and so we're not in a rush, necessarily. We don't see a need to see, however many hundreds of units into the future. But I don't think anybody, certainly not anybody on this call, expects 300 to be our ceiling.
Jon Tower: Got it. Thank you for taking the questions.
Hajime Jimmy Uba: Of course. Thank you, Jon.
Operator: Thank you. Our next question comes from the line of Todd Brooks with Benchmark Company. Please proceed with your question.
Todd Brooks: Hey. Thanks for taking the question. Just a couple left here. Jeff, on the other cost line, given the success in accelerating the opening pipeline, is it safe to take the kind of Q1 level of spend and then obviously apply a low leverage as the volumes increase in the back half? But how should we be thinking about that level of spend as we go forward through the year?
Jeff Uttz: That's exactly how you should think of it, Todd. We're going to continue our opening pace. As you know, we raised the guidance to 12 to 14 units. So we're going to continue to open units as quickly as we can. So we're going to continue to see those large preopening expenses and that's really what impacted other costs. The most throughout the quarter was the preopening expenses associated with opening restaurants. As you know, a lot of restaurant companies in the past have broken out preopening expenses as a separate line item on the financials, we'll just look down upon now, so we don't do that, but you can see what our preopening expenses were in our adjusted EBITDA reconciliation in the queue. So as we continue to open restaurants and we have more topline revenue to get the leverage, you're thinking about it exactly right, it's going to leverage a little bit, but they're still going to remain elevated. I wouldn't take -- think about a lot of leverage going forward necessarily this year on the preopening costs. But as we get through the year, you will get some, and again next year more, next year more. Similar to G&A really is how I'm kind of thinking about it, because unless we start opening 50 stores on time, we're going to continue to have enough stores where that additional revenue from the stores we have opened will significantly offset that. But right now it is giving us some higher costs in the other cost line and in the labor line as well. Our preopening costs are sprinkled throughout our P&L. They're not stuck in just one line. There -- it's in labor, it's in occupancy, that's another reason the occupancy was high too, nobody asked about occupancy, but we have to start booking rent expense on restaurants when we take possession of the building. So when it takes four or five months to build the restaurant, we're having noncash rent expense hit our books. And because of the accelerated openings, that's why you see our occupancy line a little bit higher than I think some people expected it to be this quarter as well, but it's a good thing. We're opening restaurants and they're going to start pushing through revenue and make profits, and we're excited to see this happening.
Todd Brooks: That's very helpful. Thanks, Jeff, and agree that if it's tied to accelerated unit openings, that's a great thing. Just one follow-up there and then I'll hop back in the queue. Within the other expense, you talked about marketing costs being up, is this just preopening marketing for new units or is there something that you're doing additionally on the marketing side that would bump that cost line up?
Hajime Jimmy Uba: [Foreign Language] [Interpreted] So as in context, last year in December, we started investing in targeted marketing search engine optimization with Google across its channels. It's been [indiscernible] it's been very cost-effective. We're very happy with it, which is why, we've kept it as part of our marketing suite. And so this is really just a year-over-year comparison given that we started in December, this was the first and last Q1 where we didn't have that cost last year. As of Q2, we're going to be doing an apples-to-apples flat comparison. So it's not like we started something new in Q1. This is really just the tail of a year-over-year comparison.
Todd Brooks: Perfect. Thank you, both.
Hajime Jimmy Uba: Thank you.
Jeff Uttz: Thank you, Todd.
Benjamin Porten: Thanks, Todd.
Operator: Thank you. Our next question comes from the line of George Kelly with ROTH Capital Partners. Please proceed with your question.
George Kelly: Hey, everyone. Thanks for taking my question here. So most of my stuff's been asked, but just one last one for you related to CapEx. And I was curious, what's a good sort of percent of sales to use just generally for maintenance CapEx? I know it's $2.5 million per restaurant, but wondering about maintenance CapEx. And if we look back over the last year or two, has there been kind of a post-COVID catch-up on some maintenance CapEx, just curious if there's been anything sort of not normal in the more recent periods.
Jeff Uttz: So a couple of things. George, hi. So for maintenance CapEx, we've said in the past, it runs about $100,000 per restaurant. Once a restaurant is opened, your ongoing maintenance stuff that we're capitalizing. And in terms of catch-up, there's not necessarily so much of a catch-up. But when you look at our depreciation line on the P&L [Technical Difficulty] what you're seeing is a lot of accelerated depreciation in there, because we've done several remodels. We changed our logo sometime before I joined the company, but we haven't changed the signage yet, so we're changing a lot of our signage to the new logo. And when we make that decision, we have a date for when that sign is coming down. We have to accelerate the depreciation. We also have a lot of protective equipment that we had in the restaurants for COVID that we kept on the books, just so we made sure the COVID emergency was over. And now that it's over, we have to write those off as well. So there are some -- several unusual things hitting our depreciation line. But that's kind of how I think you should look at it. Like I said, 100 grand or so for us -- for me was CapEx.
George Kelly: Okay. Sounds good. That's all I had. Thank you.
Benjamin Porten: Thanks, George.
Jeff Uttz: You're welcome.
Operator: Thank you. Our next question comes from the line of Mark Smith with Lake Street Capital. Please proceed with your question.
Mark Smith: Hi, guys. Similarly, I think most questions have been asked here, but just one for me. As we look at G&A, there's a little bit of litigation accrual. Did that fall in there? And was there anything else that was kind of one-time-ish? It looks like you're expecting some pretty good leverage there. I just wanted to see if there was anything else that was maybe one-time-ish in nature.
Jeff Uttz: Yeah. The litigation accrual $205,000 was the biggest one-time fees. And if you back that out, the number seem to almost exactly where we expected it to come out for the quarter. Then you're going to see going forward for the rest of the year and if you look at our guidance, we're projecting about 50 basis points of leverage when we had 80 basis points last year. And the reason we're not expecting as much leverage this year is, this is our first year because this is our sixth year as a public company, which means that we now have to be 404(b) compliant which has created quite a bit of additional auditor costs and some consulting costs to make sure that we are completely 404(b) compliant when we need to be. So the additional public company costs create a little bit of a headwind there. But you know what, 80 last year plus 50 this year, 130 bps over two years is pretty good.
Mark Smith: Excellent. Thank you.
Jeff Uttz: Thank you.
Benjamin Porten: Thank you, Mark.
Mark Smith: Thank you.
Operator: Thank you. We have reached the end of our question-and-answer session. And with that, this will conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.